Operator: Good day, everyone, and welcome to the Fourth Quarter 2022 HP Earnings Conference Call. My name is Emma, and I will be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes.  I would now like to turn the call over to Orit Keinan-Nahon, Head of Investor Relations. Please go ahead.
Orit Keinan-Nahon: Good afternoon, everyone, and welcome to HP's fourth quarter 2022 earnings conference call. With me today are Enrique Lores, HP's President and Chief Executive Officer; and Marie Myers, HP's Chief Financial Officer.  Before handing the call over to Enrique, let me remind you that this call is a webcast, and a replay will be available on our website shortly after the call for approximately one year. We posted the earnings release and accompanying slide presentation on our Investor Relations web page at investor.hp.com. As always, elements of this presentation are forward-looking and are based on our best view of the world and our businesses as we see them today. For more detailed information, please see disclaimers in the earnings materials relating to forward-looking statements that involve risks, uncertainties and assumptions. For a discussion of some of these risks, uncertainties and assumptions, please refer to HP's SEC reports, including our most recent Form 10-K and Form 10-Q. HP assumes no obligation and does not intend to update any such forward-looking statements. We also note that the financial information discussed on this call reflects estimates based on information available now and could differ materially from the amounts ultimately reported in HP's SEC filings for the years ending October 31, 2022 and 2023 and the quarter ending January 31, 2023. During this webcast, unless otherwise specifically noted, all comparisons are year-over-year comparisons with the corresponding year ago period. For financial information that has been expressed on a non-GAAP basis, we've included reconciliations to the comparable GAAP information. Please refer to the tables and slide presentation accompanying today's earnings release for those reconciliations. With that, I'd now like to turn the call over to Enrique.
Enrique Lores: Thank you, Orit, and thank you, everyone, for joining the call today. I'm going to focus my remarks on three key topics: First, I will recap our Q4 and full year results. Then I will discuss actions we are taking to position our business for the future, including a new three-year plan focused on structural cost reductions that will drive the next phase of our digital transformation and the investment in our growth businesses. And I will close by talking about our outlook for 2023. But let me start by setting some important context. It has now been three years since I became CEO. From the day I took over, my top priority has been to deliver long-term, sustainable, profitable growth while transforming our business for the future, and we have made important progress. We started by launching an aggressive plan to unlock value. We implemented a new global operating model that brought us closer to customers and helped us significantly reduce structural costs. We initiated actions to rebalance profitability in our Print business. And we began to diversify our portfolio to capture more value per customer. We expanded into adjacent growth categories such as peripherals. We extended our services and solutions offering, and we shifted more of our business to subscription and contractual models. These changes helped us to improve our operational performance. They also position us well for the disruption caused by the pandemic, which we were able to use as a catalyst to accelerate our transformation. And our track record over these past few years provides a window into what you can expect from us moving forward. We have proven to be resilient in the face of changing market conditions. We delivered strong free cash flow, controlled our costs and scaled our growth businesses. At the same time, we will continue challenging ourselves to do better regardless of the external environment, and there are areas where we need to do better. When we see things that aren't working, we will fix them, and we will embrace every opportunity to improve our performance because our customers, shareholders and other stakeholders deserve nothing less. You can expect us to take the same approach in 2023 and beyond.  Let me now turn to our results for the quarter. Revenue was $14.8 billion, down 11% nominally or 8% in constant currency. This reflects macro headwinds in the market and is very consistent with what we described last quarter. We continue to focus on what we can control. We managed our pricing mix and cost to deliver non-GAAP EPS of $0.85, which is towards the high end of our previously provided outlook. And we delivered strong free cash flow of $1.8 billion, while returning $1 billion to shareholders. Very importantly, we also maintained our momentum in our growth portfolio. In short, we did what we said we were going to do last quarter.  Turning to our Q4 business unit performance. Personal Systems revenue were $10.3 billion. That's down 9% in constant currency year-over-year, but up 2% sequentially or 4% in constant currency, including two months of Poly's results. The Poly integration is going well so far with the business performing better than expected. We continue to receive very positive feedback from the market about the opportunity ahead. We are well positioned to accelerate our peripheral growth, and we expect Poly to be accretive to non-GAAP operating profit and EPS in fiscal year '23. Our PS operating margin was 4.5% in the quarter, below our long-term target range due to increased competitive pricing, particularly in EMEA. Still, we remain confident in the long-term trajectory of PS as we navigate near-term volatility in the market. The PS TAM remains above pre-pandemic levels, and we are making progress against our long-term strategic priorities. This includes shifting more of our mix to high-value segments. In Q4, our Commercial business continues to account for more than 2/3 of our overall PS revenue. However, we are not satisfied with our PS market share results this quarter. We know we can do better, and we will. We see many opportunities to improve our execution and gain share in key segments of the market.  In Print, revenue was $4.5 billion. That's down 7% year-over-year or 6% in constant currency, largely due to continued softness in the Consumer market, both hardware and supplies and supply constraints. That said, our operating margin of 19.9% was well above our target range, reflecting disciplined cost management and pricing. Our Commercial business made a good recovery during the quarter, with office hardware revenue growing double digits year-over-year and sequentially. This was offset by declines in home and supplies, both of which were in line with our expectations. We also made progress against our plan to rebalance system profitability and further reduce our reliance on transactional supplies. HP+ and Big Tank printers continue to become a larger portion of our portfolio mix, representing about 55% of our printer shipments. And we had another good quarter in Industrial Graphics and 3D, both of which grew revenue year-over-year and sequentially. Now turning to the full year. Our Q4 results capped off a solid 2022 in the face of tough market conditions in the second half. Fiscal year '22 revenue was $63 billion. That's down 1% nominally and up 1% in constant currency. We exceeded our full year revenue target for our key growth businesses, each of which delivered double-digit organic growth. Collectively, they generated more than $11 billion in revenue. That's $1 billion above our target and reflects the strong momentum we are building. We delivered non-GAAP EPS of $4.08. That's up 8% year-over-year and within our target range. We generated free cash flow of $3.9 billion, and we returned $5.3 billion to shareholders in the form of share repurchases and dividends. We also continued to advance our sustainable impact agenda. This is a key differentiator for our brand, and I am proud of the work our teams are doing to make it a competitive advantage. This year, we were the only technology company globally to receive an A rating from CDP, one of the world's leading NGOs dedicated to environmental sustainability reporting. And almost all the new printers, laptops, notebooks, displays and workstations we launched in 2022 included recycled materials. Sustainable impact will remain a key strategic priority moving forward. Fiscal year '22 also marked the completion of our three-year value creation plan, and we exceeded all the key targets we set. In addition to delivering on our financial commitments, the plan drove important investments in our future. Most notably, we invested in our digital infrastructure to begin replatform in the company. And we invested in both R&D and M&A to accelerate the growth of our businesses. These investments have strengthened our resilience and positioned as well for the volatile market ahead. I now want to talk about what comes next because while we have delivered on our value plan, we are not done, and we have initiated the next phase of our transformation. Our ultimate goal is to create a Future Ready HP. Future Ready is our strategic framework that we are driving across the company. It has two primary objectives. One is to develop the portfolio and operational capabilities needed to drive sustainable growth. The other is to further reduce our cost. Marie will talk more about the cost side of this transformation. Today, I am going to walk you through three key elements of our Future Ready plan, digital transformation, portfolio optimization and operational efficiency. They are also the major drivers of savings of the plan we are announcing today. I will start with digital transformation. We are continuing the process of digitizing the company. We plan to capitalize on the infrastructure investments we made over the past three years to simplify and accelerate many processes through automation and end-to-end management. For example, we are launching end-to-end initiatives that will enable faster conversion from lead generation to free cash flow. Our digital transformation will also drive productivity, speed and quality of our execution across supply chain, customer support and go-to-market. In addition, our new digital backbone will enable us to scale key growth businesses by delivering new customer value propositions such as personalized services and solutions that allow us to capture more value per customer.  The second area of focus is on optimizing our portfolio. In the current environment, I believe it's essential that we zero-in on businesses where we can drive significant competitive advantage and market leadership. We have an opportunity to create a more focused and more growth-oriented line of businesses based on innovation that meets the changing needs of our customers. We also have opportunities to simplify our portfolio. For example, in Personal Systems, there is an opportunity to significantly reduce our number of unique SKUs. And we plan to significantly reduce complexity and cost in businesses where we don't expect to achieve growth but can drive value. A significant portion of the savings we generate is expected to be invested to drive innovation in our key growth businesses to increase the lifetime value of our customers. I'll give you some examples. In hybrid work solutions, we intend to leverage the combined strength of Poly and HP to drive attach, while expanding in software and services to deliver differentiated hybrid work solutions for meeting rooms and home offices. In gaming, we see significant opportunity to drive better collective experiences through both software and hardware. And we will create seamless experiences across PCs, displays and peripherals. Through our newly informed workforce services and solutions business, we will simplify IT management for customers through new Device-As-A-Service offering tailored for hybrid ecosystem. We will also expand our consumer services offerings beyond Instant Ink to include new areas such as paper and print hardware. In Industrial Graphics, we will continue to lead the industry in innovation that drives that analog-to-digital transformation. And in 3D, we will continue to invest in our own 3D end-to-end printing applications and in our metals portfolio. And we expect these businesses collectively to continue growing organically double digits next year. The third area of focus I'm going to cover today is delivering operational excellence. We plan to continue to optimize our performance by driving efficiencies, simplifying organizational structure and removing unnecessary costs. This work will build on our previous transformation initiatives to unlock new structural savings. We will be taking actions across the company to reduce our variable spend and structural costs. For example, in our Print business, we will further reduce our core fixed cost structure and align it to post-pandemic market sizing. And our consumer subscription offerings will allow us to be more efficient in simplifying our portfolio. The cost actions of our Future Ready plan will generate at least $1.4 billion in gross annual run rate structural savings by year-end fiscal year '25. They will allow us to mitigate near-term market headwinds, mitigate softness in the core businesses; and just as importantly, to maintain investments in long-term growth. As part of the actions we are taking, we will be reducing the size of our workforce over the next three years. We expect to reduce it by 4,000 to 6,000 people. These are the toughest decisions we have to make because they impact colleagues we care deeply about. We are committed to treating people with care and respect, including financial and career services support to help them find their next opportunity. But while these are difficult decisions, we are doing what's best for our business.  Let me now provide some color on our outlook for the year ahead. We expect to operate in a challenging macro environment during fiscal year '23. In our guide, we are not assuming a significant economic recovery over the next 12 months. We expect our second half performance to improve, mostly driven by the cost-saving measures we are implementing. We plan to maintain our current capital allocation approach, applying the same framework we have used during the last three years. We plan to continue to return at least 100% of free cash flow to our shareholders over time unless opportunities with a better return on investment arise and as long as our gross leverage ratio remains under 2x. Given the volatility of the market, we believe it's important to maintain a healthy balance sheet through prudent financial management. Therefore, we will temporarily reduce our share repurchase activity in the near term. We are confident in the actions we are taking to navigate current market conditions and drive long-term value creation. And today marks the start of the next phase of our strategic journey. While our growth trajectory may be uneven in the face of volatile market conditions, we remain confident to grow low single digits over the long term. Based on our track record over these past three years, you can count on us to deliver on our commitments. Let me now hand the call over to Marie to talk more about our financials and outlook.
Marie Myers: Thank you, and good afternoon, everyone. Our Q4 results were impacted by many of the same macroeconomic challenges we highlighted last quarter, including a significant slowdown in consumer demand, FX and inflation. That said, we are adapted quickly to the current environment and have demonstrated disciplined cost management to deliver solid results to finish out the year. In addition, we returned significant capital to our shareholders while successfully closing our acquisition of Poly. We continue to believe in the long-term opportunities across our business and are confident we have the right strategy and portfolio of assets to drive long-term value creation. Today, I will cover our Q4 results and a recap of FY '22 followed by details about the cost transformation component of Future Ready, building upon the foundation we laid in our previous program and then finish with our outlook for Q1 and FY '23.  Turning to our Q4 results. Net revenue was $14.8 billion in the quarter, down 11% nominally and 8% in constant currency. Gross margin was 18.4% in the quarter, down 1.2 points year-on-year driven by FX and increased pricing competition, particularly in PS. Non-GAAP operating expenses were $1.6 billion or 10.7% of revenue, down 18% year-on-year.  In Q4, we installed further rigor at our cost management with OpEx down sequentially, excluding Poly. Year-on-year, we reduced our OpEx spend by nearly $350 million by prioritizing our spend and reducing variable compensation, while also capturing additional structural cost savings under our transformation plan. At the same time, we made and expect to continue to make prudent and targeted investments where we anticipate significant opportunity to drive growth, including our key growth areas, which Enrique outlined earlier. Non-GAAP operating profit was $1.1 billion, down 15%. Non-GAAP net OI&E expense was $128 million for the quarter, up sequentially, largely as a result of our acquisition of Poly. Non-GAAP diluted net earnings per share decreased 10% to $0.85 with a diluted share count of approximately 1 billion shares. Non-GAAP diluted net earnings per share excludes net expenses totaling $855 million, primarily related to acquisition-related charges, amortization of intangibles, tax adjustments and restructuring and other charges, partially offset by non-operating retirement-related credits. As a result, Q4 GAAP diluted net earnings per share was zero, mostly due to onetime noncash tax expenses.  Now let's turn to segment performance. In Q4, Personal Systems revenue was $10.3 billion, down 13% or 9% in constant currency. This compares to the 3-point headwind we had expected. PS revenue includes just two months of Poly's results following the successful completion of the acquisition in late August. Total units were down 21% on tough compares. We also saw pricing competition increase sequentially due to high-channel inventory across the industry. And while supply availability has improved significantly, constraints persisted in some pockets of the business.  Drilling into the details, Commercial revenue was down 6% or 2% in constant currency. Consumer revenue was down 25% or 21% in constant currency, with FX remaining a significant headwind this quarter. As an example, currency was an approximate 6-point headwind to our Personal Systems business in EMEA this quarter, increasing 1 percentage point sequentially. By product category, revenue was down 23% for notebooks, up 1% for desktops and up 9% for workstations. We saw a strong recovery in gaming sequentially with revenue up solid double digits due to better product availability.  We have cleared most of our outstanding backlog and finished the quarter at a level consistent with pre-pandemic levels and with most of the remaining backlog reflecting higher value units. Personal Systems delivered $458 million of operating profit with operating margins of 4.5%. We ended the quarter below our long-term range for operating margins, largely as a result of particular weakness in EMEA Consumer revenue. Operating margin declined 2 points year-over-year due to currency and increased promotional activity given elevated industry channel inventory levels, especially in the Consumer business. These headwinds were partially offset by mix, lower commodity costs and variable compensation. We are pleased with the strong execution by the Poly team. They delivered just above breakeven operating profit and exceeded expectations for the quarter. In Print, our results reflect our focus on execution and the breadth of our portfolio as we navigated the highly dynamic environment. In Q4, total Print revenue was $4.5 billion, down 7% nominally or 6% in constant currency, driven by lower Supplies revenue and lower home hardware units combined with increased pricing competition in the home business. This was partially offset by higher office hardware units and ASPs and growth in Industrial Graphics and Instant Ink services. Total hardware units declined 3% driven largely by continued supply constraints for certain IC components and lower Consumer demand. We have taken mitigating actions that are beginning to yield improvements in our supply availability at a pace consistent with our plans. While this has enabled us to make progress on reducing our backlog, we still expect print hardware constraints to extend into FY '23.  By customer segment, Commercial revenue increased 1% or 5% in constant currency, with units up 5%. Consumer revenue was down 7% or 4% in constant currency with units down 4%. Office continued with its gradual recovery, while pricing remained disciplined even as supply constraints eased incrementally. Home hardware demand softened further sequentially, particularly in the EMEA and Americas regions impacting ASPs as competitive pricing increased during the quarter. In Q4, Commercial recovery remained slow due to the gradual and uneven pace at which the return to office is progressing. There were pockets of strength with commercial hardware units up 5%. And in graphics, our Indigo business closed its largest deal to date for 50 digital presses with ePAC, a leader in the flexible packaging market. Supplies revenue of $2.7 billion declined just under 10% in constant currency, slightly better than expected as demand weakness appeared to stabilize in the quarter. The decline was driven primarily by continued Consumer weakness, particularly in the EMEA region and the slow recovery in the office, partially offset by favorable pricing actions and continued market share gains in ink and toner. Supplies finished FY '22 down nearly 7% on a constant currency basis. Adjusting for approximate 1-point headwind related to the exit of our Russia business, the year-on-year decline in Supplies came in consistent with our original guidance range of a decline of low to mid-single digits.  Print operating profit increased $73 million to $903 million, up 9%, yielding an exceptional operating margin of 19.9%. Operating margin increased 2.9 points year-on-year, driven by favorable overall pricing and OpEx management, including lower variable compensation, partially offset by unfavorable mix and higher commodity costs. Now turning to cash flow and capital allocation in Q4. Q4 cash flow from operations and free cash flow was $1.9 billion and $1.8 billion, respectively, exceeding our guidance for the quarter. The cash conversion cycle was minus 29 days in the quarter, flat sequentially as lower days payable outstanding and higher days sales outstanding was offset by the decrease in days of inventory. In Q4, we returned approximately $1 billion to shareholders. This included $750 million in share repurchases and $249 million in cash dividends. At the end of FY '22, we successfully finished our transformation plan, generating better-than-expected structural cost savings. Our strong performance and our value plan over the past three years, including our capital return and broader capital allocation priorities were made possible in part by the transformation journey we have been on. In 2019, we launched a three-year plan to unlock significant value and become a leaner, simpler and more digitally enabled company. We took decisive actions aligned to the principles of our value creation plan to become closer to our customers by simplifying our operations and replatforming the company. In total, our transformation program delivered growth annualized run rate savings of over $1.3 billion and reduced our headcount by approximately 7,700 as expected. As part of our simplification journey, we changed our operating model, moving to one commercial organization, and created strong centers of excellence to drive efficiency and faster decision-making. In addition, we optimized our real estate footprint, creating efficient digital workspaces as we transitioned to a hybrid work model. We also made significant progress in optimizing our manufacturing footprint and continuing to enhance resiliency while reducing our cost structure. Digital replatforming was another defining enabler of our transformation efforts. We built a new digital backbone for the company with the deployment of one ERP system, creating the ability to deploy additional tools and capabilities. In addition, this new platform provides the foundation upon which we can drive incremental cost savings as well as build new businesses with different business models as we move into FY '23 with the launch of our Future Ready Transformation Plan. We are now launching cost action efforts as part of that Future Ready program, continuing to the next phase of our transformation. We'll continue to take actions to reduce structural costs across COGS and OpEx to drive efficiencies while protecting the investments necessary to accelerate our transformation, ensuring we are well positioned to drive long-term growth. This program is expected to run for three years, and we expect to generate at least $1.4 billion in gross annual run rate structural cost savings by the end of FY '25. We expect at least 40% of the run rate savings or approximately $560 million to be achieved by the end of FY '23. We have line of sight to these savings, and we also have a good funnel of additional cost savings opportunities that we are betting to help us exceed these targets. The total expected restructuring charge is approximately $1 billion, which includes approximately $200 million in noncash charges in FY '23. We anticipate approximately $600 million of the total charges to be in FY '23 with the rest split roughly equally in FY '24 and FY '25. As Enrique mentioned, we take workforce reductions very seriously and with the utmost care, but they remain critical to the long-term health of HP. In total, we expect to reduce headcount by 4,000 to 6,000 over the next three years. In addition to labor-related restructuring charges of roughly $700 million, we expect additional non-labor charges related to IT, real estate and other corporate charges. We anticipate the gross savings from this next phase of transformation will partially offset the challenging macro in the near term and incremental investments in growth opportunities we discussed earlier. In summary, these actions will help enable us to build a stronger HP. Looking forward to our Q1 and FY '23 outlook. We continue to believe in the long-term opportunities and growth in our end markets, including our key growth areas and our strategy to create value for shareholders over time. Given the current macro environment, we do expect near-term volatility, in particular, keep the following in mind related to Q1 and FY '23 financial outlook. Given the challenging macro environment driven by the headwinds I've described, we are modeling multiple scenarios based on several assumptions. For FY '23, we see a wide range of potential outcomes, which are reflected in the outlook ranges we are providing today. Consistent with our Q4 results and ongoing strategy, we will continue to rigorously manage our OpEx spend while continuing to prioritize investments where we see opportunities for growth. This is made possible in part by the decisive cost actions we are announcing today. We expect currency to be about an approximate 5% year-over-year headwind in Q1 and 5% for FY '23 reflecting the current strength of the U.S. dollar. In Personal Systems, we expect the overall PC market to see an approximate 10-point unit decline versus FY '22. Many of the recent challenges we have seen in FY '22 will likely continue into FY '23, including softer demand in both Consumer and Commercial and higher channel inventory levels across the industry. We anticipate these factors will put continued pressure on overall pricing at least through the first half of '23. We expect Personal Systems unit mix to continue to improve as we focus on higher-value categories, including commercial premium and hybrid work solutions. We expect Personal Systems margins to be below the low end of our 5% to 7% target range through at least the first half of FY '23 driven by the high normalization of industry channel inventory levels and then improve into the second half as channel inventory normalizes and our transformation-related cost actions start to more meaningfully impact our cost structure. And regarding Q1 Personal Systems revenue, we expect to be down mid-single digits sequentially. In Print, in terms of the overall print market sizing, we expect it to be down approximately 3% year-on-year driven by the challenging macro environment and slower-than-expected return to the office. In the office market, we continue to expect the market sizing to be approximately 80% of our pre-pandemic projections. In home, we expect the market to be down in '23 versus the exceptional performance during COVID, but still above our pre-pandemic projections. We expect continued softness in Consumer demand and favorable pricing in Commercial units, offsetting some normalization in Consumer pricing, particularly in the first half of '23.  In terms of our print hardware supply chain, we expect constraints to continue, particularly in office hardware, at least through first half of FY '23. We expect Print margins for FY '23 to be at the high end of our 16% to 18% range, driven by the resiliency of our portfolio and disciplined pricing and cost management including our transformation efforts to reduce our print fixed cost structure, as Enrique mentioned. And finally, regarding Supplies revenue, we expect to decline low to mid-single digits in FY '23 in constant currency, consistent with our long-term outlook. For FY '23, we expect to be within that range in aggregate. But for the first half of '23, we expect to be at similar levels to Q4 given the macro environment and tough compares. We expect free cash flow to be in the range of $3 billion to $3.5 billion, which includes approximately $400 million of restructuring cash charges. From a seasonality perspective, we expect the second half to be stronger than the first, largely consistent with our net earnings combined with the fact that our first quarter is typically lower given the timing of prior year variable comp. Furthermore, normal, quarterly sequential seasonality does not apply for FY '23, given the dynamic macro environment. But we do expect some improvement in our revenue trajectory in the second half of '23. That said, we expect our key growth businesses collectively will continue to grow double digits organically in FY '23 as we continue to invest in innovation and adjacent market opportunities. With regard to OpEx, we expect to rigorously manage our overall cost structure as part of our transformation, particularly in our core businesses, where we expect OpEx to be down year-on-year. However, including Poly, we do expect total OpEx to be up year-on-year. In addition, for FY '23, we expect OI&E expense will be approximately $0.5 billion, consistent with our Q4 exit run rate. Moving to capital allocation. We are not making any changes to our capital return framework. As we have discussed in the past, we are committed to our strategy of returning 100% of free cash flow to shareholders over time as long as our gross leverage ratio remains under 2x, and there aren't any better return opportunities in order to maintain our credit rating. Given the challenging current environment, consistent with our disciplined financial management, we expect share repurchases will be modest near term based on our FY '23 outlook today.  Lastly, we announced today that we are raising our annual dividend by 5% to $1.05 per share, reflecting confidence in our long-term outlook for the business. We have raised our dividend every year since separation in late 2015. Taking these considerations into account, we are providing the following outlook: We expect first quarter non-GAAP diluted net earnings per share to be in the range of $0.70 to $0.80 and first quarter GAAP diluted net earnings per share to be in the range of $0.47 to $0.57. We expect full year non-GAAP diluted net earnings per share to be in the range of $3.20 to $3.60. And FY '23 GAAP diluted net earnings per share to be in the range of $2.22 to $2.62. For FY '23, we expect our free cash flow to be in the range of $3 billion to $3.5 billion, which is net of about $400 million in restructuring cash outflows. Before we open for Q&A, I want to leave you with the following thoughts: First, as part of our Future Ready plan, we are taking clear and decisive actions, which includes aggressive structural cost reductions as we have just shared.  Second, we are adapting to these challenging market conditions with our Future Ready cost transformation program, which includes plans to drive significant cost savings. Third, we're confident in the long-term growth opportunities and are capitalizing on these opportunities by investing to become a more digital company with a more growth-oriented portfolio. Fourth, we have an experienced management team with a proven track record in up and down markets. We deliver on our financial commitments. We are disciplined in our capital allocation and committed to a strong balance sheet. In short, we are steadfast in our commitment to deliver long-term value creation. We are building a stronger HP, and I look forward to sharing our progress with you at FY '23. Operator, please open the line so we can take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Amit Daryanani with Evercore.
Amit Daryanani : I guess, Enrique, I'm hoping you just start off talking a little bit more about the transformation plan. And then what I'd love to understand is what do you think HP looks like after the transformation plan is done, maybe in terms of the growth rates on the operating margin profile versus what you've seen historically? I want to just to understand what would be different about HP post the current transformation plan? And then if you can also just touch on, how do we think about net savings, the gross numbers you're talking about through this transformation? That would be helpful. 
Enrique Lores : Sure. Thank you, Amit. So first of all, we -- because of the transformation, we think that we will continue to support the guide that we provided last year about sustained revenue and profit growth year-over-year. This has been the goal that we had before and continues to be the goal that we have now. From a business perspective, this will allow us to continue to accelerate our subscription and services business. We will be a more efficient company because we will be leveraging our digital infrastructure to support and to -- we will have transformed many of the key processes that we have and the mix of our business between the core businesses and what we call the growth businesses will also be different. This will be the key driver that we will expect to achieve through the transformation.
Marie Myers : Amit, maybe I will just add a comment, and good afternoon, regarding the savings. So we do expect at least $1.4 billion of gross run rate structural savings by the end of '25 and approximately $560 million of that by the exit of '23. Just to add, it will be a mix of both COGS and OpEx. And we look at this over time, as Enrique said, and we expect that these savings and investments that we're making are going to provide that significant flow-through over time.
Amit Daryanani : Got it. And if I can just follow up on the Print margins. They've held up really well despite the decline we see on the supply side of the business. As you think about the performance especially in the last three, four quarters on Print margins, what are the two, three things that you think made margins to sit at 20% right now, near 20%? And then what do you think is the durability of this margin level at least in the first half of next year?
Marie Myers : Yes. No, thanks very much, Amit. So look, as you said, we're really pleased with the Print margins that were at 19.9% in Q4, which is actually at the high end of our expected range. And that increase, if we look at it from a year-on-year perspective, is a combination of things. Firstly, we've demonstrated disciplined OpEx management that's contributed along with overall pricing durability, as you mentioned. And I think both of these factors combined have really helped to sort of play into our performance. As we look into next year, we do expect once again to be at the high end of the range. And it's really contributed by both the resiliency of the portfolio, our strategy, a combination of that pricing management. I think that we've really mastered along, obviously, with the benefits of the Future Ready Transformation program that we just announced today as well.
Enrique Lores : Yes. If you remember, we announced a plan to rebalance profitability between hardware and supplies [three] (ph) years ago. We have been executing on that. This quarter, we shared that more than 50% of the printers were profit upfront. So all this has also helped. But as Marie said, we expect to build a business within range during 2023.
Operator: Your next question comes from the line of Shannon Cross with Credit Suisse.
Shannon Cross: My first question is looking at your growth areas. I think we understand where there's pressure on your model. But maybe if you could talk a bit more about the $11 billion in revenue that you've generated, and I'm not sure if that's like pro forma for Poly or it doesn't include Poly. I think it is excluding. I'm sure it's very small print. But if we can think about each one and their potential growth contributions, and maybe how to think about the margin potential for each one of those? And then I have a follow-up question.
Enrique Lores : Sure. So yes, you are right, Shannon. The $11 billion does not include Poly so this will be on top of $11 billion that we explained. And the goal that we had at the beginning of the year was for them to be about $10 billion. So this is almost $1 billion more than what the plan was. I think what we can say at this point is all of them grew double digit during 2022, and we expect collectively to grow again double digit in 2023. And as we share, if we look at the year, the gross margin was above the gross margin of the company. In some of them, we are still in investment mode, and we know we need to continue to invest to continue to accelerate the growth. And this is one of the reasons why we have been working on the transformation for a few months now because we know that we need to both compensate for some of the challenges that we see on the market side given the slowdown in some of the markets, but we also need to continue to invest on the growth initiatives because they will carry the growth of the company and the value of the company in the future.
Shannon Cross : Okay. And then Marie, if you can talk a bit about on the cash flow side of things. I mean, you're guiding $3 billion, $3.5 billion. I assume that includes restructuring. Maybe it doesn't. But just in general, how do we think about sort of normalized cash flow for this model after you go through or as you go through the restructuring plan and areas where maybe you can draw down in terms of working capital? And just again, I think people are trying to understand maybe when you would get back to where you can buy back stock, just your comfort level and what you're seeing in terms of cash flow?
Marie Myers : Absolutely. And good afternoon, Shannon. So as you said, the cash flow guide is $3 billion to $3.5 billion. And just a clarification, that actually does include the $400 million of restructuring cash flow. So just take that into account in your model.  Now in terms of how to think about free cash flow, as you know, it tracks with net earnings. But in any quarter, as you've seen just in our results, in the last couple of quarters, it's driven very much by the mix of business that we see in the quarter and changes in working capital. And those items include everything from the restructuring, the bonus, et cetera, and also just adjustments that we make to our inventory level. So you're going to expect that there's going to be a level of seasonality around it as well. And then as we're thinking -- specifically about the first quarter that's coming up, we would say it's going to be -- we're going to guide here to a lower number because we expect typically from a seasonality perspective, that's when we pay out the bonus that we accrue in the prior year. And also, we expect specifically in Q1 just due to the fact we've got this combination of both the unfavorable business mix from the top line pressure of Personal Systems, you combine that with the bonus payout and restructuring and with the increase in AR from contract manufacturers, which is partially offset by continued reductions we're taking at inventory level, we expect that our cash flow in Q1 is probably likely to be negative towards breakeven. So I know I've said a lot there is definitely a lot of factors going into driving the linearity in our cash flow. But once again, still very confident in the guide that we've given for the year of $3 billion to $3.5 billion. And then I'll just turn it to Enrique if he wants to comment at all with respect to our repo strategy.
Enrique Lores : Sure. We can talk about that. We also shared in the prepaid remarks that we are not changing our capital allocation plan. But as we have said before, we are going to be returning to shareholders 100% of free cash flow unless better opportunities arise and always within the our -- where we will stay within our leverage rate. In Q4, we completed the acquisition of Poly. We did it one quarter before we were planning, and therefore, during the beginning of the year, we are going to slow down or moderate our share buyback to -- in alignment with our plan. But our plan is to go back to the original plan in the second half as we will have more stronger situation for a free cash flow perspective. And that's our plan.
Marie Myers : Yes. I'll just add, it is important that we're going to ensure that we at least offset dilution from employee benefit plans as well.
Operator: Your next question comes from the line of Toni Sacconaghi with Bernstein.
Toni Sacconaghi: Yes. I'm wondering if you could specify how significant the backlog drawdown was in the quarter, just so we can get a sense of what kind of baseline normalized order of revenue growth was. And then you provided some context on your expectation for Q1 revenues for PCs to be down mid-single digits sequentially. I'm wondering if you can comment on your revenue expectations for Q1 overall and for fiscal '23. For the next four quarters, Dell is calling for revenues to be down in the teens. I'm wondering if you see a more optimistic outlook than that? And I have a follow-up, please.
Enrique Lores : Sure. I'll take the question on market and then Marie will talk about Q1. So from an order and projection perspective, Toni, the way we are modeling the PC market for next year is to -- we are expecting that it will be declining by 10%. And from a backlog perspective, we basically cleaned the majority of our backlog during Q4. And we are back to where we were before the pandemic, which is one of the reasons why we expect the market to be in the minus 10% range in -- during 2023. Marie, do you want to talk about Q1?
Marie Myers : So just on the revenue per PS, we do expect it to be down mid-single digits sequentially. And obviously, that's driven by all the conditions we've talked about earlier today. And as you know, we normally don't guide revenue, but we do expect that normal seasonality won't apply in '23. So we'll see some improvements in the overall revenue trajectory in the back half. But overall, we do expect to see PS revenue down here in Q1.
Enrique Lores : And the situation is different on the print side, especially on the Commercial side, we continue to have some shortages as we were expecting. So backlog for Commercial print remains elevated and we expect to clearly during the first half of 2023.
Toni Sacconaghi: Okay. I still don't feel like we have a pretty good sense of what your range of outcomes is for revenue growth for 2023. But -- maybe you can address that. But just following up with the second question, you said Supplies would be back to your traditional model of down kind of low to mid-single digits. But you pointed to minus 10% growth in the first half. So that means you're expecting Supplies to grow in the second half. That's pretty well the simple math. And why did we have this big perturbation from model the last couple of quarters and maybe the next couple of quarters. Is this just channel inventory correction? Or why do we have a sudden reset off of model that is minus 3% to minus 5% and minus 10% and then it kind of bounces back.
Enrique Lores : Sure. So as I explained in the last call, the changes in the performance in the supply business is really driven by a slowdown of Consumer demand. We started to see this at the end of Q3. And as we were expecting, we have continued to see that in Q4, and we project that this will continue. Of course, as demand gets adjusted, there is an inventory adjustment, but this is not the reason why we are seeing -- the impact in supply is really driven by adjustments in user demand. . For the full year, as we said last quarter and we continue to say, we expect the business to go back to our original guide. And this means that the second half will have stronger performance than the first half. I think as we look at quarter growth as one of the key metrics, I think it's important to realizing that adjustments done in previous quarter have a lot of impact on growth. So we don't think it's the best way to measure the health of the business because anything that happened a quarter ago will have an impact on what is the next quarter. But again, the big impact is driven by a slowdown on Consumer demand. And I think it's also important to highlight that our channel inventory is in a very good position today. I mentioned last quarter that it was slightly above where we wanted it to be. We are now totally within the position where we like to be.
Operator: Your next question comes from the line of Aaron Rakers with Wells Fargo.
Aaron Rakers: Yes. I've got two as well. Just going back to kind of Toni's questions a little bit. I guess on the context of the revenue side, just correct me if I'm wrong, the 10% number with regard to PCs being down, that's a unit number. So as we see ASP pressure come into play, would the assumption be that revenue declines more? And then also, on the revenue context, I think there was a comment thrown out there about 3% with regard to print. I'm curious, was that 3% sequential down in this quarter? Or was that kind of the commentary for the full year? I was just confused by that comment around 3% decline in Print. And I got a follow-up.
Enrique Lores : Sure. Let me start with the print side, and then Marie will talk about PC. On the print side, the minus 3% is the expected decline in the overall market for print between fiscal year '23 and fiscal year '22, and there are different dynamics behind that number. We are expecting the Consumer number to -- the Consumer market to go down year-on-year, the office market to go slightly up and the industrial market to continue to grow like it has been growing during 2022. The net effect of all these three is a minus 3% growth year-on-year. Marie?
Marie Myers : Yes. No. With respect to revenue, I think as I said earlier with Toni's question, we do expect to see down mid-single digits sequentially. And as we mentioned earlier, I think Enrique commented in the prepared remarks, down 10% on units, and this is obviously with an environment where you've got higher channel imagery, there is going to be some ASP pressure. So we do anticipate though, as you get into the second half, that should clear out the inventory that we'll see some of the revenue adjust. But I think the way to think about it is that certainly the first half of PCs is going to be challenged. But obviously, we will be doing our best to offset all of this with an improvement in our mix. And I think we've demonstrated that over the last couple of quarters.
Aaron Rakers : Yes, that's very helpful. And then I guess the follow-up was on the channel inventory discussion. I guess, do you see that channel inventory is the assumption right now that channel inventory normalizes as we get towards the mid part of calendar '23. Any context of how you would currently characterize your own channel inventory in that?
Marie Myers : Sure. If we're talking just Personal Systems, absolutely. We expect that the inventory will remain elevated through the first half, but then normalize in the second half. And then as I think Enrique said earlier, Print is in really good shape, both supplies and hardware.
Operator: Your next question comes from the line of Erik Woodring with Morgan Stanley.
Erik Woodring : I have two as well. Maybe Enrique I start with you. This is your third consecutive kind of three-year cost cutting or transformational plan, I should say, HP's third consecutive at more than kind of $1 billion of gross cost savings, each plan. So I guess if you take a step back and you think about the last maybe almost a decade in that context. Why have the prior plans, I guess, not been enough? Or what are you doing with this specific plan that you haven't necessarily already done, given even last summer, you talked about portfolio SKU rationalization and digital transformation. So just maybe if you could help us understand that. And then
Enrique Lores : Sure. Thank you, Erik. I would say there are two things. First is the world is in a very different position now than when it was three years ago, but also the company is in a very different position. In fact, a significant part of the savings that we are going to be able to achieve now are really driven by the investments that we have made during the last 3 years that really are enabling a significant part of it. For example, when we talk about continuing to work on the digital transformation, we can do it now because of all the investments that we have made during the last three years. Additionally to that, when we look at the return on this investment, it really brings -- has very good results. We are going to be investing $1 billion, and we will get, as Mario was saying, $1.4 billion of run rate savings at the end of '25. So really very solid return. And on top of that, this will also help us to continue to invest in our growth businesses. We think that it is important that as we go through a challenging marketing conditions during the next quarter, we continue to invest in the future businesses of the company, and this transformation is going to enable us to do that going forward.
Erik Woodring : Okay. And then maybe Marie, this one would be for you. Net debt is up a little $4 billion to $5 billion year-over-year. Obviously, Poly had an impact on that. Your gross leverage is creeping towards the higher end of your 1.5x to 2x range -- target range. And so would you be willing to go over 2x temporarily? I mean the math says, you could technically get over 2x over the next 12 months. So are you willing to let leverage get over 2x? And/or why not try to work down some of that just given the more uncertain macro backdrop, rising interest rates, et cetera?
Marie Myers : Yes. No worries. No, we're very much committed to the strategy. I think we've articulated of staying inside our range. So absolutely, we'll continue to execute against our strategy.
Enrique Lores : We think that the world is, as we have said, very volatile and having a strong balance sheet is really important. So this is why we will stay below 2, keeping investment-grade rating is critical for many of our big deals with large corporations. So this is one of the big reasons why we want to stay there. And if everything we will deliver, we are not planning to go beyond the range.
Operator: Your next question comes from the line of Wamsi Mohan with Bank of America. 
Ruplu Bhattacharya : It's Ruplu filling in for Wamsi today. I have two questions. Enrique, one on PCs and one on print. In the prepared remarks, with respect to Personal Systems, you said that you're not happy with the share performance. It looks like HP lost some share, both sequentially and year-on-year. But I'm sure you've already done in this quarter what other companies are doing, which is reducing price. And with the inventory -- channel inventory remaining high for half of fiscal '23, can you talk about your strategy in Personal Systems. How do you think you can gain share? And what are some of the things that -- you talked about execution. So what are some of the things you can do better to gain share in this year?
Enrique Lores : Sure. As we have explained in the past, our strategy and our goal is profitable growth is not to gain share for the sake of gaining share. And therefore, we are very judicious and very careful as we look at deals in different geographies, different segments to make sure that the deals make financial sense for us. This quarter, we saw very aggressive pricing in many countries in the world, especially in the Consumer segment, especially EMEA. And in many cases, we decided not to participate. But we also know that to maintain a strong leadership position in this market, we need to regain share. And this is -- and we think that the cost reduction activities that we have been working on for some time are going to be part of the Future Ready plan, are going to help us to be more competitive and help us to win share during 2023, which is our goal. And that's really the key -- this will be the key driver of the share growth that we expect to have.
Ruplu Bhattacharya : Okay. Can I ask a follow-up on the Print segment? As people are going back to work, how do you see the relative growth rate of your home subscription business in spending versus the commercial Managed Print Services business are either one -- is one more profitable than the other? And then just as you look at print margins throughout the year, you guided for the full year to remain at the high end of the range. But should we think that the first half going to second half, your Print margins normalize somewhat towards within that range. So can you just give us your thoughts on the relative margins of those two subscription businesses? And how do you see the growth rates for them as well as the margin progression this year?
Enrique Lores : Sure. From a margin perspective, similar to what happens on the transactional side, the home, Instant Ink program is more profitable than the Managed Print Service program. That’s driven by the fact that we own almost all the technology stack. From a growth perspective, though, they are not related. We have a lot of opportunity to grow the consumer subscription business and to grow as well the Managed Print Service business, especially as we start seeing some slow but some recovery on the office side.
Marie Myers : And just on the margins, as I said in our prepared remarks, we do expect to be at the high end of the range. But in terms of just how to think about it half-on-half, just in the first half, we do expect a little more softness in Consumer due to some of the favorable pricing. So we'll see that probably in the first half, some normalization.
Operator: Your final question today comes from the line of Krish Sankar with Cowen & Company.
Krish Sankar : I have two of them. First one, either for Marie or Enrique, on your cost reduction plan. With the portfolio optimization, how should we think about the TAM opportunity for HP in FY '25, given that I understand you want to do profitable growth. But do you think with the portfolio optimization and the headcount reduction, you're prioritizing one over the other? And then I have a follow-up.
Enrique Lores : Yes. So our portfolio optimization have many different elements. Let me highlight a couple of them. First, we are going to maintain, and in some cases, increase our investment in the growth businesses. As I said before, we expect to get double-digit growth in 2023. And going forward, they will continue to become a more relevant part of the company.  On the other side, we also know we have opportunities to optimize some of the businesses in the core side. For example, during 2021 and '22 because of the component shortages, we have to duplicate many SKUs. We had to duplicate investments in boards, in many different parts to compensate for component shortages. This is clearly now an opportunity to simplify, to rationalize and to reduce investment and cost in the cost side. And there are many other things, but these are two good examples of the things you will see us doing.
Krish Sankar : Got it. Got it. Super helpful, Enrique. And then a quick follow-up, actually, a two-part follow-up. On the 10% PC units down, is that for FY '23 or is it for calendar '23? And can you just help us understand what your calendar '22 baseline is?  And then the second part of the question is, I think, Marie, you mentioned how second half of FY '23 should get better as inventory digest for PCs. I'm just kind of curious, is that really a function of inventory digestion and you expect demand to improve? Or is that -- because it seems like most companies expect a second half 2023 recovery, but with an uncertain demand environment, what is the confident level on that improvement?
Enrique Lores : Sure. So let me start with a minus 10%. The minus 10% is what we expect the unit decline to be during our fiscal year that goes from November '22 to November '23. We are using that number because we think it's more relevant to understand the guide that we provided today. Marie?
Marie Myers : Yes. And just on the second half, just bear in mind that not only the channel inventory will be in better shape, but we also will see the impact of the Future Ready Transformation program. So we'll expect to see those gross run rate structural savings that I mentioned about $560 million kick in, in the back half as well. So that's another driver along with -- we should see supply chain improved, particularly in print and high-end PCs. And I'd just add that at the high end of the guide, the upside is really coming from a better macro, but we're not counting on it. So that's what could drive us to the high end of the range.
Enrique Lores : Thank you, everybody, for joining the call today. But you can see that we are taking the actions under our control to manage the situation and to improve the situation. Clearly, we know that we need to both continue to reduce our cost structure, but also to invest for the future of the company because I don't think anybody can predict when the rebound of the economy will happen. But what we want to make sure is that we have a stronger HP when this happened, so we can take advantage of that. So really thank you, everybody, for joining. And Happy Thanksgiving for those of you in the U.S. Thank you. 
Operator: This concludes today's conference call. Thank you for attending. You may now disconnect.